Operator: Good day everyone and welcome to the Earnings Call for Western Alliance Bancorporation for the Third Quarter of 2018. Our speakers today are Ken Vecchione, Chief Executive Officer; Dale Gibbons, Chief Financial Officer; and Robert Sarver, Executive Chairman. You may also view the presentation today via webcast through the company’s website at www.westernalliancebancorporation.com. The call will be recorded and made available for replay after 2:00 P.M. Eastern Time on October 19th, 2018, through November 19th, 2018, at 9:00 A.M. Eastern Time by dialing 1-877-344-7529 and then entering passcode 10124472. The discussion during this call may contain forward-looking statements that relate to expectations, beliefs, projections, future plans, and strategies, anticipated events or trends, and similar expressions concerning matters that are not historical facts. The forward-looking statements contained herein reflect our current views about future events and financial performance and are subject to risks, uncertainties, assumptions, and changes in circumstances that may cause our actual results to differ significantly from historical results and those expressed in any forward-looking statement. Some factors that could cause actual results to differ materially from historical or expected results include those listed in the filings with the Securities and Exchange Commission. Except as required by law, the company does not undertake any obligation to update any forward-looking statements. I would now like to turn the call over to Ken Vecchione. Please go ahead.
Kenneth Vecchione: Good afternoon everyone and welcome you to Western Alliance third quarter earnings call. Joining me on the call today are Dale Gibbons and Robert Sarver. Dale and I are going to walk through the slide deck that's been posted on the website and then we'll open the lines for your questions. Western Alliance, again, delivered consistent results for the quarter with higher organic loan and deposit balances, stable margin, and efficiency ratio, while maintaining asset quality. The bank also reinvested a one-time tax benefit by investing in its future performance by selling low yielding securities and reinvesting for shorter durations and higher yields. We also funded the company's foundation which will reduce expenses in the future. For the quarter, on an annualized basis, Western Alliance increased net tangible book value over 18%, total revenue by 15%, and earnings by 30%, achieving a 207 basis point return on assets, 26.6% return on average tangible equity, while maintaining asset quality standards, which continues to be the focus of the company. As the economic expansion continues, our focus on credit quality will become even more important. Yesterday we reported record earnings for the third quarter of $111 million and EPS of a $1.05, both were up more than 30% from the same period last year. This was our 33rd consecutive quarter of record net income. As September 30th, total loans were $16.7 billion, up $595 million from the prior quarter and up $1.6 billion for the year. Year-over-year, loans grew $2.8 billion or 15.2%. Deposits rose $821 million to $18.9 billion from Q2. Year-over-year, deposits rose $2 billion or 12%. Interest margin improved two basis points to 4.72% compared to 4. -- just 4.70% in the prior quarter despite lower benefit from accretion on acquired loans. Adversely graded assets continue their low loan decline as MPAs to total assets stands at only one quarter of 1%. Expense management kept the efficiency ratio essentially flat at 41.5%. Quarterly earnings added $100 million to equity increasing the tangible common equity ratio to 10% as total assets rose $808 million providing the company the ability to continue to support organic growth. Before turning the presentation over to Dale, I would like to put our financial results into context. Industry loan growth is becoming challenging amid tougher pricing competition and elevated pay downs. Western Alliance grew through these issues in the quarter, but there are real concerns we will face going forward. At this time, I'll turn it over to Dale.
Dale Gibbons: Thanks Ken. At the end of 2017, the company undertook several cash savings strategies that accelerated deductions and deferred revenue until this year. This resulted in $108 million tax loss for 2017 and we expected to carry-forward. However, being able to carry this loss back and said results in a one-time tax benefit of $15 million as we were able to deduct the loss in 35% tax rate years rather than 21% to carry-forward. This benefit was recognized in the third quarter. The company utilized most of this benefit as we funded our foundation by $7.6 million which should eliminate the need for funding in 2019 and some years beyond. We sold approximately $110 million of securities at a $7.2 million loss and reinvested the proceeds at higher yields and shorter durations. We also incurred $1.2 million loss for mark-to-market changes in securities held with fair value, largely from the run-up in rates in September. These trade reactions will produce higher net interest income in future periods. We also had a $1.2 million non-recurring charge for our 401(k) plan. The tax savings on these $17.2 million of investment was $3.6 million, which when added to the $15 million in tax savings from the loss carry-back, totals to $18.7 million shown in the middle column of adjustments for income tax. The net effect of all these items increased net income by $1.5 million or $0.01 per share during the quarter. Looking at the as adjusted column, operating pre-provision net revenue for the third quarter was $141.9 million, pretax income was $136 million, income tax expense would've been $26.2 million on $136 million of pretax income, which would have brought net income to $110 million in EPS of a $1.04. Net interest income rose $9.9 million for the second quarter to $234 million, driven by $621 million increase in average loan growth. Net interest income rose 16% from the year ago period. Operating non-interest income was down $1.2 million from the second quarter to $12.9 million, largely due to a decrease in warrant income which was elevated in the second quarter. Total revenue was up $8.7 million, $246.9 million, which was nearly 15% annualized growth from the second quarter. Operating expense rose $2.3 million or 9% on an annualized basis from the second quarter to $105 million, largely due to an increase in incentive of compensation cost. With revenue growth of 15% compared to expenses rising 9%, the company achieved a 3:2 target revenue to expense growth rate. On a dollar basis, the revenue rise of $8.7 million was 3.7 times to $2.3 million expense increase. The provision for credit losses with $6 million for the quarter as asset quality remained steady; we achieved nearly $600 million in quality loan growth and incurred $3.1 million in net loan office. The effective tax rate on a normal basis was essentially flat at 19.3%. Diluted share count was also basically unchanged at $105.4 million, resulting in normalized EPS of a $1.04. In the next three pages, an orange line has been added to the 2017 period to show what these ratios would have been without a reduction in tax income benefits due to the Tax Cuts and Jobs Act passed late last year. While the numbers in green are the actual reported performance, the numbers in orange provide continuity to the quarters in 2018 as the tax change has been in effect in the prior year. Investment yield remained stable during the quarter at 3.24%, but it consistently climbed from the 2.92% yield in the third quarter of 2017. The investment yield in the second quarter had also benefited from some semiannual dividend payments that occur in Q2 and Q4, which increased the yield during that quarter by about three basis points. Loan yields have climbed over the past year after adjusting for the effect of the Tax Cuts rising 33 basis points from 5.57% in the third quarter of 2017 to 5.90% in the most recent period. As a percentage of the increase in the target fed funds over the past year of 100 basis points, the adjusted trailing fourth quarter loan beta was 33%. On a linked-quarter basis, yields rose 9% resulting in the loan beta of 36%. Interest bearing deposit cost rose 15 basis points in 3Q at 60% beta as the company continues to respond to competitive pricing pressure with sufficient strength to continue its healthy organic growth and sustain its core deposit funding profile. From the third quarter of 2017, interest bearing deposit cost rose 48 basis points or 48% beta. While all of the company's funding sources are considered including -- company's funding sources are considered including non-interest-bearing deposits and borrowings, total funding cost increased six basis points for the quarter and 29 basis points over the past year to 0.67%, resulting in a linked-quarter funding cost beta of 24% and a one year trailing funding cost beta of 29%. Over both last quarter and last year, bank's loan beta has exceeded its funding cost beta. The company believes this metric provides a more complete picture of all funding price sensitivity to rising rates and betas that only comprise a portion of the bank's funding structure and acknowledges the bank's 42% non-interest bearing deposit compensation. The interest margin increased two basis points during the quarter to 4.72%, primarily driven by the benefit of higher rates on our asset sensitive balance sheet. From a year earlier and after adjusting from the prior margin by the effective lower taxable equivalent benefits, the margin climbed 19 basis points from 4.53%, which is fairly consistent with our estimate of five to six basis points of margin improvement for 25 basis points increase the fed funds rate by the FOMC. The reduction in acquired loan accretion held back the increase in the margin by four basis points in the last quarter and by 11 basis points over the past year. Forecasted accretion will fall to $2 million in future periods if all discounted acquired loan loans paid just their contractual principal commitments. However, because of loan prepayment activity, actual accretion will likely exceed this estimate. The efficiency ratio decreased to 41.5% from 42.1% on a linked-quarter basis and is up slightly from 41% a year ago after adjusting for the tax change. The $2.3 million increase in operating expense for the first quarter was driven by -- for the second quarter was driven by increase incentive compensation costs, year-over-year revenue growth of $35.2 million with 2.2 times to $16 million increase in operating expenses. Our pre-provision net revenue ROA was 2.64% and the return on assets was 2.07%. These metrics have consistently been to the top decile compared to peers. Continued loan growth and deposit growth took total assets to $22.2 billion in period end. Our consistent balance sheet momentum continued during the quarter as this 15% annualized loan growth of $595 million was very close to the 16% annual loan growth we reported for the past three years. Similarly, annualized third quarter deposit growth of 18% from the $820 million increase closely compares to three year compounded deposit growth rate of 16%, the same as we have in loans. Deposit growth beta of $21 million exceeded our $595 million in loan growth by $226 million and enabled us to reduce our FHLB borrowings to zero at September 30th and lowered our loan to deposit ratio from 89.2% to 88.5%. Our loan growth of $595 million was driven by residential growth of $296 million and C&I up $209 million and construction up $129 million. Year-over-year loan growth is spread across all loan types with the largest growth also in residential C&I and construction. Loan growth for the quarter was split between geographic regions and the NBLs with approximately 43% of the growth in geographic regions and 56% international business lines. Deposit growth greater than $21 million spread among all markets and business lines. Deposit growth during the quarter was driven by an increase of $591 million in savings and money market accounts, enabling us to eliminate our short-term borrowings which carry a higher funding costs. Year-over-year deposits grew across all deposits types with the largest increase also in savings and money market of $759 million. Total adversely graded assets declined by $10 million during the quarter to $358 million as an increase in classified accruing loans was offset by a decrease in special mention. Non-performing assets comprised of loans on non-accrual and repossessed real estate decreased to $57 million or only $0.25% in total assets. Growth credit losses of $4.8 million during the quarter were partially offset by $1.7 million in recoveries resulting in net losses of $3.1 million or eight basis points of total loans annualized. The credit loss provision of $6 million compared to $5 million in the prior quarter as the reserve interest to support higher loan balances. The allowance for loan and lease losses rose to $150 million, up $14 million from a year ago. This reserve was 0.97% of non-acquired loans at September 30th as acquired loans are both at a discount to the unpaid fiscal balance and hence have no reserves at acquisition. For acquired loans, credit discounts totaled $17 million at quarter end which were 1.4% to $1.2 billion purchase loan portfolio, primarily from Bridge Bank and Hotel Franchise Finance transactions. Our strong capital growth for the quarter exceeded our balance sheet growth and drove each capital ratio higher from the second quarter. Tangible book value per share rose $0.92 in to $20.70 and just 18% in the past year. At 10%, our tangible common equity ratio is in the top quartile of the peer group, while return on tangible common equity again exceeded 20%. I'll turn the call back to Ken.
Kenneth Vecchione: Thanks Dale. After a strong third quarter, we've stepped balance sheet growth to moderate in the fourth quarter. Competitive pricing pressure on both sides of the balance sheet may mute our margin expansion in 2019. However, we expect our fourth quarter margin to increase similar to our prior guidance in part benefiting from the securities reinvestment strategy Dale just mentioned. We have held our 3:2 operating leverage growth rate for the third quarter of 2018 absorbing a $700,000 increase in non-interest bearing deposit costs and funding of new balance sheet initiatives that have yet to generate revenue. Primarily as a result of these charges, we do not expect to see efficiency improvements continuing at the historical pace and expect to migrate our target 3:2 revenue growth rate to expense growth rate target to one in dollars with a revenue increase to be two and a half times the amount of the increase in operating expenses. In other words a 40% marginal efficiency ratio. The modest losses we incurred in 2018 have been related to borrow specific circumstances and not systemic issues in any of our business lines. We do not have any information that leads us to change this viewpoint and the outlook for asset quality remains stable. At this time, Robert, Dale, and myself are happy to take your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Casey Haire of Jefferies. Please go ahead.
Casey Haire: Thanks. Good morning guys.
Kenneth Vecchione: Good morning.
Casey Haire: Wanted to start-off, I guess, in the securities book actually, sounds like you guys did some restructuring in the quarter and are going to come out a little bit stronger in the fourth quarter. If possible, could you give us what the spot rate is on that securities book today versus the 3.25% in the third quarter?
Dale Gibbons: Yes, it's up six basis points from this transaction.
Casey Haire: Okay got you. All right. Okay. And then the revenue development initiatives that you guys -- so there's -- if I'm understanding you correctly, there's nothing on the topline from these initiatives currently, when might we expect to start to see them show up in the P&L?
Kenneth Vecchione: Okay. So, all businesses are progressing, but not yet producing meaningful results. So, remember we have two deposit businesses, two loan businesses. On what I call the positive business number one, it's now up and running and new deposits are expected sometime in Q4, okay. But we still have some more organizational and team buildout that will be completed in the quarters to come. Deposit business too, we're not expected to be operational until sometime in the middle to late Q3 of 2019 and then we would expect deposits coming in at the end of 2019. On our loan businesses, we have two we mentioned. On the first one, the team is in place. We have loan commitments and loan growth will follow in Q4 going forward. And on the second loan business, the team buildout continues. We did book some small loan volume this quarter, but we really expect to grow it as we've always said in 2019.
Casey Haire: Okay, fair enough. And then I guess just switching to -- actually I'll just leave it there. Thanks.
Kenneth Vecchione: Thanks.
Operator: Our next question comes from Michael Young of SunTrust. Please go ahead.
Michael Young: Hey good morning.
Kenneth Vecchione: Good morning.
Dale Gibbons: Good morning.
Michael Young: Just to follow-up on Casey's question, the new kind of guidance on revenue to expense growth or marginal efficiency ratio, is that inclusive of those businesses in your current outlook for when they will kick-up and start running or is that exclusive of those?
Kenneth Vecchione: No, that's inclusive.
Michael Young: Got it. And just on the growth this quarter, there are strong residential growth, was that more of a portfolio acquisition or is that something that you're shifting focus towards going forward with some of the more competitive pricing in some of the other areas?
Robert Sarver: So, let me just kind of take a half a step back and give you a viewpoint into what we're doing here. We buy residential loans from our warehouse lending customers after we fully underwrite that. So, we have access to their branch networks without the buildout expense there -- without having locking expenses and without having compliance expenses. And if we don't like the loans, we're not obligated to buy them. So, this approach, in general, helps us improve our operating leverage and we get to cherry pick the best of the residential loans that we like. Having said that, there also was a purchase in this quarter, but generally, as you see residential loans grow in the future, it's going to be because of this strategy that we're putting -- that we have put in place.
Michael Young: Okay. And you just feel better about the pricing dynamics and risk reward in that vertical now than some of the other areas?
Robert Sarver: Yes, we do. And these are variable rate loans, one, three, five years and we're going to watch this stuff closely. We'll -- depending on our interest rate viewpoint; we'll either push into it or pullback as we need to.
Dale Gibbons: We think we're getting into this at a better time. I mean for those that have been in the residents of real estate lending portfolio for sector for years, they put on loans at 3%. Part of the reason why our margin exceed that is because our mix of resi real estate is only about a tenth of what the average bank is our size. So, you're going to see that proportion growing overtime.
Michael Young: Okay, makes sense. Thanks.
Operator: Our next question comes from Brett Rabatin of Piper Jaffray. Please go ahead.
Brett Rabatin: Hey good morning.
Kenneth Vecchione: Morning.
Brett Rabatin: Wanted to ask I guess first thinking about the central business lines. The growth was pretty concentrated in the other segment and I was hoping maybe you could talk about that a little bit. And then I was kind of surprised to see a little bit of a decrease in the tech side of that platform. I was just curious you could talk about those two things.
Robert Sarver: So, the tech side, we do some equity financing in the tech side. And so those loans come in, they come out; they have a little bit more volatility to them. So, that's probably the tech side. I mean I will say just in general, tech innovation, very busy, very busy on the deposit side. They are having one of their best fund raising years since the dotcom era. Okay so, we're pulling in a lot of deposits on that side, but loans could go up and down depending on take-outs and we're seeing a lot of strategic take-outs of our portfolio. So, that's what sort of meant overall where we have things to grow through and when we had a great quarter, we're just a little cautious about that Q4's total growth. Did I answer your question there Brett?
Brett Rabatin: Yes. Then I guess the other part was just the other businesses, what was the concentration there?
Robert Sarver: So, in terms of overall growth like our C&I went up about $209 million; residential, we will not talk about that; construction land went up about $129 million. So, CRE, investor, and owner occupied came down slightly. We're seeing payoffs there mostly because people are taking -- be taken out of their properties.
Kenneth Vecchione: So, within the sector we're reporting -- the segment reporting is mostly in our mortgage warehouse operation.
Brett Rabatin: Okay. Okay. And then just wanted to ask you talked about real concerns on competitive pressures and some moderating growth. As we're thinking about -- maybe it's too early to talk about 2019 full year, but you guys have been a stellar growth bank, is -- would it still makes sense to think about 2019 as double-digit or would that moderate?
Robert Sarver: No, I think so. I think we still have good -- strong balance sheet growth opportunities in front of us. I think we've been executing that throughout 2018. We -- as some of these new business lines are going to come into play next year as well, I don't believe that the rate of improvement we've seen on our efficiency ratio is going to continue at the same pace it's been in the past. Now this -- in 2018, it was a little bit of a flat year on total efficiency because we had some of these changes whereby we reinvested part of the tax benefits into employees. But that's -- we don't expect that to continue. But at the same time, we don't necessarily see that there's going to be as many rate increases going forward. And so we are -- I think we're going to be well set for double-digit improvements in earnings per share next year as well.
Kenneth Vecchione: Yes. And let me add to that, I want to make sure my comments are taken in a very balanced way, okay. We're going to have loan growth; we're going to have deposit growth. We'll probably hit -- we're not changing consensus for the full year, so none of that has changed. We're just trying to tell you we're trying to be cognizant of the world that's out there, okay. By the way we had a lot of these same problems going into Q3 and quite frankly, the summary I've said to my team here today earlier was loan growth good deposit growth even better and that's what we're shooting for for Q4 as well. So, I just want to make sure there's balance here in what we're saying and you understand what we're trying to do.
Brett Rabatin: Okay, that's great color. Appreciate it.
Operator: Our next question comes from Brad Milsaps of Sandler O'Neill. Please go ahead.
Brad Milsaps: Hey good morning guys.
Kenneth Vecchione: Morning.
Dale Gibbons: Morning.
Brad Milsaps: Ken, I was curious, I think we may have touched on this in previous calls, but just want to get an update on the construction book you guys have had a fair amount of growth this year. Can you help us remind us kind of how that donates between kind of residential, commercial, any other way you might slice and dice -- just want to kind of get a sense of kind of everything you've got in there at this point?
Kenneth Vecchione: Yes, I think it's a fair question and given some of the reported results in the industry, I'm going to make this a little bit broader for a moment because I think this is on investors' minds. So, let me just kind of note several things for you and we start with the following. Just in our special mention in sell books, we only have about $8 million of construction and land loans. All right, that's one. Two; there are no sub-standard or a special mention multi-family loans, okay. We only have like one loan which is investor real estate, industrial building that is in special mention and that's for under $1 million. Closed end family loans total about $11 million in sub and special mention. Our rural land exposure for the entire book is less than 0.75% of our total loan book, all right. Back to your question, when you look at our construction land book of about $2.2 billion, there's 30% that sits in what we call lot banking and that's with very, very strong sponsors at LTDs that do not exceed 55%, all right. And the team that we brought over a couple of years ago never had a loss even in the downturn, all right. We also have about 30% of our CLND book in single family homes and we watched that very closely, absorption rates are still holding, we're not seeing any downturn there. And then the rest stuff is in CRE, investor, and owner occupied and again, the economy is doing well. Generally, that market is doing well. I don't know, just leave it there, but that was a little broader viewpoint brush to asset quality. I'll just add one other thing too, it's probably just maybe important to know or just tidbits of information. One, we don't do any condo financing. So, you're not going to find us doing condo financing in Miami or New York or Chicago and we're pulling back in certain areas that we think overtime could create a little more problems in the marketplace. So, we pull back lending to any contractors and those that are marginal performers in our book, we are strongly encouraging them to see other banks. So, we are trying to take -- asset quality comes before everything else in this company. And we -- that matters to us and we're trying to be as proactive as we can at all times.
Robert Sarver: It's Robert, I'll just add on to that. On our commercial real estate financing, we've got significant amounts of equity in our projects and we have strong contractors, assurance bonds or guarantees to get contracts finished. So, even though we've seen some issues with some cost overruns, we haven't had any problems in our book there. On the residential side, on their construction side, on the housing side, a number -- most of markets we're in are fairly high profile markers. The ratio of land to housing is a little higher than the national average and we require 50% cash upfront on finished lots. And so as that gets rolled into the house construction, the houses we're financing typically our loan on the house that's being built is somewhere around at 65% loan to value. So, we have a fair amount of cushion should home prices begin to soften a little bit.
Brad Milsaps: That's helpful. And just to follow-up on the $2.2 billion, do you guys have a sense of kind of what ultimately that kind of migrates to on your balance sheet or is most of that taken out by other sources?
Robert Sarver: Well, some of it gets taken out by other sources. And as a percentage of our total loans we're going to keep about where it is now and over time probably you'll see a migration downward more than upward.
Dale Gibbons: There are some of those [Indiscernible], but most of it gets taken out.
Brad Milsaps: Okay. And then Dale just like a final kind of housekeeping, does the recognition of the tax benefit, does that change sort of your ongoing tax rate as you think about 2019?
Dale Gibbons: No, I think the 19% -- in the 19% range is kind of where we're headed.
Brad Milsaps: Okay, great. Thank you, guys.
Operator: Our next question comes from Jon Arfstrom of RBC Capital Markets. Please go ahead.
Jon Arfstrom: Thanks. Hi guys.
Kenneth Vecchione: Hey, how are you doing?
Jon Arfstrom: Good. Question for you just on lending again, it seems like a lot of the banks are saying things that are somewhat similar to the backing away a bit and there's this non-bank narrative that keeps coming up. Just curious if you guys are seeing any change in who you're competing against and has their behavior appetite changed at all? Is it intensifying?
Kenneth Vecchione: Yes. That's a good question. So, the answer is we are seeing more funds that we're competing against. They're coming in at lower yields and higher advanced rates and they are becoming more of a difficult competitor. We tend to price our loans -- all loans. We try to get premium pricing to the existing market that's out there and that is creating a little bit of a headwind for us, but we're able to fare rather well because of SERCs. Two things, when we tell you the deal is done, the deal is done, we don't retreat. And we get it closed when you want to get it done. And those are very, very important issues for our borrowers and they will pay-up on that. And so we've had some success with that. But we are seeing more institutional money flowing here.
Robert Sarver: The flip side of that is that a large percentage of these funds are for sale right now. They're heading to the exit.
Jon Arfstrom: Yes, I was just kind of ask that question. What are you seeing changes?
Robert Sarver: Well, what changes is that is number one, when you're a lender that needs to borrow money from other people to make loans, you have your funding sources dry up quicker should the economy change a little bit. And a number of people that started these companies, they don't want to take the risk of going through another cycle. So, we're getting inundated with offering books of non-bank lenders for sale and I think that's going to create opportunity in two ways. One, I think there's opportunity maybe to buy some of these companies at really attractive prices because of supply/demand and then for sale is changing. And two, it's going to reinforce to borrowers that a bank is a more stable place to borrow money from. And so I think there's kind of a silver lining in there.
Jon Arfstrom: Okay. My next question for you was do higher rates create more strategic opportunities for you and I think you just answered that question.
Robert Sarver: Yes, I think not only higher rates too, but I think a little bump in the road does too. I mean you're going to see a tale of two cities I guess where you're going to see further differentiation between valuations of companies based on performance and part of that performance is going to be taken into account their credit performance, their margin, the liquidity, their funding their capital position. So, we were always a little bit contrarian here and we're part of the reason we've been accumulating some capital and also quick to pay dividend is waiting for opportunities like this where there's some bumps in the road. The amount of opportunities we're getting shown is as high and so I think -- that's kind of a counter to a little bit of a rocky road out there for some of the companies is I think you're going to see a bigger differentiation. That differentiation -- we've always had that differentiation in book value, but I think our differentiation in our price to earnings ratio should help us in terms of Lupita's some opportunities which we very select on but -- well -- I think I have some opportunities to make some interesting acquisitions over the next couple of years.
Jon Arfstrom: Okay, great. Thanks. Thanks for the help guys.
Operator: Our next question comes from Gary Tenner of D.A. Davidson. Please go ahead.
Gary Tenner: Thanks. Good morning.
Kenneth Vecchione: Good morning Gary.
Gary Tenner: I think you just addressed my question. With regard to capital with the questions or your answers approvers question but as relates to the margin and the commentary around that, you kind of positioned the trailing information in terms of the relative data between loans and deposits. So, I mean with what your forecast was on margin you kind of alluded to previous guidance on margin if I heard you correctly. Can you just kind of reiterate what those expectations were and if you think the role to loan betas could stay ahead of the deposit players.
Kenneth Vecchione: Yes, I'll that have until the other half of the question with Dell but we expect to see margin expansion in Q4. So, I want to be clear on that, all right. And as we get closer to 2019 more a better viewpoint on that, but we're just trying to balance what we see our some of the pricing pressures extending out over time, okay, with what we're trying to do on the liability side and to grow the book business. You want to take the beta part?
Dale Gibbons: Sure ye. So, when we were going in the second quarter, we highlighted that we expected that there was going to be a period of stronger betas on funding costs and we saw that in Q2. And then in our last call we said we thought there were going to slow down in Q3 which they did. From here I think our betas are probably going to be fairly stable at our current run rate. So, what that does is it gives us an opportunity again to have margin expansion. We had a rate rise of course since the end -- at the end of September. And that's not reflected kind of in our numbers. We had a couple of technical things I would say they should improve us as well one of them was security trade that we did where we sold $110 million pick-up. That's going to be about a 0.5 basis point on the margin. And then we also had -- everyone is familiar with the LIBOR deal where LIBOR really shot up in 2Q and then eased off in Q3. I think right now Q4 looks like it's probably going to be more normalized. That would help. So, we're fairly optimistic that we're going to see margin expansion in Q4. I don't know that we will see that in 2019. I think we went away, no way, but the concern that we have is that yes, there is going to be fewer changes or whatever from the FOMC or increased competition that that may mute our margin expansion a little bit compared to what it's been and maybe the five to six basis points for 25 needs to get here a bit get down. But I really -- that's just speculation.
Gary Tenner: I appreciate the additional color. Thank you.
Operator: Our next question comes from Chris McGratty of KBW. Please go ahead.
Chris McGratty: Hey good morning. Thanks for the question. Dale maybe a comment on the deposit pricing taking your comments a little bit further. You've got about 25%, 26% of your book between the tech and HOA businesses. Interested in kind of what's been going on with repricing in those portfolios and compared to the rest of the book?
Dale Gibbons: It's fairly nominal. I mean they have very low beta continue to -- again I think in those sectors, it's not deposit pricing what those relationships are driven on, it's driven by technology on the HOA side, and its driven by credit on the tech side.
Robert Sarver: Yes, technology and service on the HOA side.
Chris McGratty: Okay, that's great. And then Dale I missed the comments, apologize. The securities portfolio, how hard should we thinking about the absolute size considering what you did in the quarter and kind of the prospects for -- sounds like a little bit slower balance sheet growth?
Dale Gibbons: Well, I'm not sure there's going to be slower balance sheet growth, but where we are today, we have our deposit have been growing faster than loans. That gives us more in the securities portfolio -- this is kind of core unit for the balance sheet. Going forward I think that we're still going to see deposit growth probably in excess of loan growth and so that could portend for higher balances in that portfolio.
Robert Sarver: Now, we did talked about loan to deposit ratio dropped to 80.5% from last quarter which was 89.2%, so.
Chris McGratty: Okay. And just kind of a while I have you, the comment about balance sheet growth, maybe I misheard you or maybe could you repeat it. You're growing kind of mid-teens, lot of mid-teens-ish this year, year-to-date, is the message kind of moderation close to 10% going forward, kind of overall balance sheet, or is it kind of inside of that. I'm just trying to make sure I got it right.
Kenneth Vecchione: No, I'm not going to give guidance certainly as it runs into 2019, we're not there yet. I'm just trying to say that it's going to be a little slower than what we did in this quarter, okay. And -- but wait and see, I mean quite frankly I thought Q3 was going to be a little bit slower and we really hit the ball out of the park. And -- but I just want to make sure that folks on the phone know that we're balanced in what we're seeing. And so we just want to kind of tell you that it will grow, but maybe not to the tune that it has been growing, but we'll see.
Chris McGratty: All right. Awesome. Thank you very much.
Operator: Our next question comes from Timur Braziler of Wells Fargo. Please go ahead.
Timur Braziler: Hi, good morning. First question is on the mortgage warehouse business that's seen some pretty strong growth here over the last few quarters despite some of the more broad industry trends. Just wondering what's going on in that business? How much are you guys actively adding to that business and driving that growth and kind of what the expectations should be for growth within that line item as application volume continues to get hit?
Kenneth Vecchione: So, warehouse lending comprises a few businesses inside of that MSR lending, warehouse lending, note financing are all captured in that heading. We like the business, it's -- we got good opportunities. Pipeline is very active and we still get premium pricing to the marketplace. So, we're going to continue to pursue that line of business.
Dale Gibbons: We have not been affected there as much as some others. Our business mix is always been skewed toward purchase money rather than refi and that's given us less volatility in that asset. I think it's likely to continue. To the degree, you do see a reduction in terms of permanent financing demand for purchases. We have these other sectors that Ken mentioned that are also growing well. MSR is, of course, increasing value at higher rate levels.
Timur Braziler: Okay. So, as we look at that business line, there hasn't really been too much yield concessions in growing it, you've been able to kind of grow at the yields you're looking to get out of that business?
Kenneth Vecchione: We're not sure with the growth in that business at all. That business is seeing some pricing pressure, but I'll tell you that we get premium pricing to what the market is at currently at.
Robert Sarver: We have customers who are willing to pay us what we think is a good risk adjusted return. We let them leave. And we let a couple of those leave in that department this quarter who have gone to the places with significantly lower pricing. So, that's okay.
Timur Braziler: Understood, that's helpful. And then just maybe one more on the lending side. Given the kind of continuance of the increasing competition in lending from some of these non-bank and different funds, is it safe to assume that at least in the near-term, we should expect more of the loan growth to come from the national platforms? Or is the basis small enough for you guys can continue to pick-off deals that you're comfortable within the local geographies?
Kenneth Vecchione: So, let me you more insight. We have a very active pipeline in all the businesses, in all regions and we are seeing good deals with strong asset quality, okay. Where we lose deals, we're losing them for pricing, right. You're not going to get us to go below 200, all right. We believe that we should get premium -- we should premium price our loans because of what we deliver and we get them a lot, but we lose deals because people we think are being too aggressive on pricing. So, our pipeline is very active, let's make sure that's clear, all right. But we're not going to chase and be the lowest person out there delivering the lowest spread. We don't think that's good. We don't think it's good for our investors, we don't think it's good for shareholders. Just don't think it's good. So, the pipeline is very active. We had a lot of great opportunities. We are following the market down grudgingly. We're doing that. But we are losing out to some people that are I think are pricing too tight.
Kenneth Vecchione: But far and away our competition continues to be Wells Fargo, Bank of America, and U.S. Bank.
Timur Braziler: Okay, that's helpful.
Robert Sarver: And we compete against -- that's where we compete against on a daily basis.
Timur Braziler: All right. Just -- sorry one last one for me on a question that was already asked. Given the expectation that deposit growth kind of outpaces loan growth or the hypothetical that that scenario continues. We saw a little bit of cash flow this quarter, I know you had indicated that you could park some of those excess funds into the securities book. I'm just wondering within the securities portfolio itself are there further opportunities for restructuring? And as you start to think about redeploying some of those funds, maybe talk through the duration of the portfolio and thoughts around kind of structure as we enter -- or as we're still with this rising rate environment?
Dale Gibbons: I mean large preponderance of our securities investments are in mortgage-backed securities or one type or another whether that's CMOs or PACs or tech, and I think that's where the funds are going to be going kind of prospectively. Duration, duration has been over four years. We shortened it up a little bit and what we've been doing in this last period. I don't want to push too much shorter because we're still asset-sensitive. It seems like that we still have some rate increases in front of it. But at some point in time I think maybe we've moved from a more neutral position if we thought that was prudent. But we are doing things that are maybe slowing it down a little bit like with the residential loan acquisitions we've been taking in. So, combination between some of those residential loan acquisitions as well as continued NBS purchases I think is where you're going to see the preponderance of our liquidity being deployed.
Timur Braziler: Perfect. Thank you.
Operator: Our next question is a follow-up from Gary Tenner of D.A. Davidson. Please go ahead.
Gary Tenner: Thanks for the follow-up question. I just wanted to revisit really quickly on the resi real estate lending. I mean it's still -- it's just barely 5% of our book, but it was half of your loan growth this quarter, 20% of your year-over-year loan growth. So, just wondering about the kind of quarter-by-quarter decision-making process around that. It sounds like you've got really a spigot of supply that you could turn on and off and kind of put it on your balance sheet at the pace that--
Robert Sarver: Yes, it is also -- a couple things. I mean we looked at in two ways going back a year when we started planning what we're going to do and that is a good alternative to our investment book, our mortgage-backed securities and also a good hedge against higher competition in the C&I commercial real estate business.
Gary Tenner: All right. Perfect. Thank you.
Operator: Our next question is from David Chiaverini of Wedbush. Please go ahead.
David Chiaverini: Hi thanks. I wanted to ask a question about -- you said in the prepared remarks about the efficiency ratio and how historically you've had been growing revenue at a 3:2 ratio of the growth in expenses. And you mentioned about how going forward to think about it as an efficiency ratio of 40%. Now does that apply what you were referring to the new businesses that are coming on Board? Or should we now think of the business as managing towards that 40% efficiency ratio in that revenue growth could be similar to expense growth going forward?
Dale Gibbons: So, right now we're in this investment period of these new businesses and we're also looking at increases in our deposit cost that we breakout in our non-interest expense. That has challenged our 3:2 growth ratio. And so looking forward we're saying okay we should be able at least do $2.5 to $1 in terms of revenue to expense. I would hope that when these situations kick-in gear that we can continue to improve our efficiency ratio and take it below 40%. But it's not going to go at this -- we're not going to be improving at the same rate we have historically. So, I look at our opportunity here in terms of double-digit balance sheet growth, margin expansion, a little slower improving efficiency ratio and I still see that that we're double-digits in terms of EPS improvement.
David Chiaverini: That's all I had. Thanks very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Ken Vecchione for any closing remarks.
Kenneth Vecchione: Thanks everyone. Now listen, we were very pleased with our results this quarter and we look forward to talking to you again about fourth quarter results in the near future. Thanks everyone.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.